Operator: Ladies and gentlemen thank you for standing by and welcome to Dynex Capital’s Second Quarter 2020 Earnings Results and Conference Call. At this time, all participants are in a listen-only mode. [Operator Instructions] I would now like to hand the conference over to your speaker today, Alison Griffin, Vice President, Investor Relations. Thank you. Please go ahead.
Alison Griffin: Thank you, Casey. Good morning everyone and thank you for joining us today. With me on the call is Byron Boston, President and CEO; Smriti Popenoe, EVP, CIO; and Steve Benedetti, EVP, CFO and COO. The press release associated with today's call was issued and filed with the SEC this morning, July 29, 2020. You may view the press release on the homepage of the Dynex website at dynexcapital.com as well as on the SEC's website at sec.gov. Before we begin, we wish to remind you that this conference call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. The words believe, expect, forecast, anticipate, estimate, project, plan and similar expressions identify forward-looking statements that are inherently subject to risks and uncertainties, some of which cannot be predicted or quantified. The company's actual results and timing of certain events could differ considerably from those projected and/or contemplated by those forward-looking statements as a result of unforeseen external factors or risks. For additional information on these factors or risks, please refer to the annual report on Form 10-K for the period ending December 31, 2019 as filed with the SEC. The document may be found on the Dynex website under Investor Center as well as on the SEC's website. This call is being broadcast live over the Internet with a streaming slide presentation, which can be found through our webcast link on the homepage of our website. The slide presentation may also be referenced under quarterly reports on the Investor Center page. I now have the pleasure of turning the call over to our CEO, Byron Boston.
Byron Boston: Good morning and thank you very much for joining our call today. As the CEO and a shareholder of Dynex Capital, I am excited about the future of our business. I have a strong and experienced team of professionals managing our capital. We believe it is an exceptional environment to generate solid cash flows for our shareholders, financing rates are low and the liquid assets we’ve invested in offer attractive risk adjusted returns and are generating solid net interest income. And our balance sheet gives us flexibility to navigate the complex environment. Well, over 30 years Dynex Capital is managing leveraged, securitized asset portfolios to generate cash income for our shareholders. We have managed every asset class that you see represented across the mortgage REIT industry today. Over the past few years, however as global-risks have intensified we have chosen to limit our investment focus to assets with the highest credit quality and highest levels of liquidity. In addition, we have chosen to maintain a higher level of overall liquidity on our balance sheet. This is a choice that has served us well, if you look at comparative long-term returns through the second quarter of 2020. We believe the key to a successful long-term strategy of managing a mortgage REIT is risk management first and effective capital allocation across multiple asset classes. We have been consistent in our approach to the market, so let me recap what we’ve said to help you understand why we are excited about our business today. So since the fall of 2018, when the fed was still tightening credit and allowing the balance sheet to run down, we pointed out to you that we did not believe the fed could continue on that path and that our financing costs will begin to decline. And as a result, our net spreads would increase. Well, today our financing costs are pegged at low levels and as a result we are generating substantially more net interest income. We noted that surprise events were highly probable, because global-risks have intensified. In fact, March of this year represented a surprise event, similar to what we saw in 1998. We had the experience and we were prepared to weather this storm. We also highlighted that we were excited about the future outlook for our business model, because the demand for yield would increase globally. We feel stronger about our expectations now that global yields have continued to plummet further towards zero and below. And finally, for the past decade, we have also said that government policy would drive returns, but we did not anticipate the extent to which this would evolve. A profound shift is taking place in economics. As we all adjust to a supersized level of state intervention in the economy and financial markets, I will now turn the call over to Steve Benedetti to go through our second quarter results.
Steve Benedetti: Thanks Byron and good morning to everyone listening. For the quarter, we posted a total economic return of $1.05 per common share or 6.5%. Book value per common share was the largest contributor increasing a net $0.62 or 3.9% to $16.69. Of this increase $0.79 per share came from changes in the value of the investment portfolio net of hedges as volatility add during the quarter and credit spreads tightened versus benchmarks across the investment portfolio. This was partially offset by $0.07 in declared dividends and excess of core EPS, and $0.10 in costs related to restricted stock grants made during the quarter. From an earnings point of view we reported a comprehensive income of $1.15 per common share and core net operating income of $0.36 per common share. The decline in core EPS from last quarter was really a function of the size of our investment portfolio as we maintain a lower leverage profile and a higher liquidity buffer early in the quarter. For the quarter average interest earning assets, including TBA securities were approximately $3.2 billion versus $5.1 billion in last quarter. Offsetting the smaller size of the investment portfolio was an increase of 49 basis points in adjusted net interest spread. Net interest spread and adjusted net interest spread benefited from the rapid decline in financing costs by 112 basis points, driving the interest spread expansion and more than offsetting the decline in earning asset yields of 48 basis points from sales of higher yielding assets and the addition of new assets on balance at lower overall yields. Drop income on TBAs also increased as we added them throughout this quarter given implied financing costs on dollar rolls, being more favorable versus repo as Smriti will discuss later in the call. Our hedging activity continued to favor a mix of interest rate swaps, options and treasury futures. The average notional outstanding per swaps was 351 million down from 2.9 billion in the first quarter. The notional balance of our swaps at the end of the quarter was 475 million with a fixed rate of just over – pay fixed rate of just over 70 basis points and the notional balance of our outstanding options and treasury futures was 2.65 billion. With that I will turn the call over to Smriti.
Smriti Popenoe: Thank you, Steve. And good morning everyone. I will briefly review our performance for the quarter. Then I'll talk about our actions taken in last quarter and discuss our current outlook and strategy. In terms of performance, please turn to Slide 22 titled fixed income market update. As Steve mentioned, our book value moved up during the quarter by 4.9%, this was partially offset by 1% from dividends in excess of earnings, capital stock transactions, bringing overall book value up 3.9% for the quarter. This was primarily driven by spread tightening on agency CMBS IOs, which you can see on the bottom of this page, where it's tightened approximately 140 basis points from 400 to 275 on agency IOs and from 450 to 300 on non-agency CMBS IOs. We also saw modest tightening in agency CMBS DUS, you can see that on the next page, Page 23 on the top right hand side and as well as tightening in agency pass-throughs. It's important to know that while spreads on par priced agency, CMBS DUS have come in almost 35 basis points as you can see on the top right panel on Page 23, premium DUS did not experience similar tightening. Premium DUS are actually only 11 basis points tighter on the quarter. Our current rough estimate is that book value in July is a little over 1% higher than at quarter end, although we have not yet completed our standard month-end closing process. Turning to our actions last quarter, in March we shifted our thinking on cash flow risk and started to reevaluate our agency's CMBS DUS portfolio for the increased possibility of delinquencies and defaults, while DUS paper has a government guarantee of principle in a default scenario, the entire premium of the bond over par goes away in a repayment. Our bonds were very high premium, close to $118 one $120 price. And during the month of April, we reduce that position from $2.1 billion to $800 million, realizing gains of $193 million and cutting the majority of our premium exposure in that sector. These sales as well as those made earlier in March of high premium Agency RMBS, 4s and 4.5 brought our leverage to total capital down to about 4 times at the end of April. In May, we rapidly deployed that capital into Agency RMBS aligning the investment strategy with government policy actions, focusing on liquidity and flexibility. If you turn to Page 7, titled business activity, you can see we increased our leverage from a low point of 4 times in the quarter to 8 times by the end of the quarter, investing primarily in lower coupon pass-throughs and TBAs. As you can see on Slide 10 titled investment portfolio, as of June 30th Agency RMBS were 76% of the portfolio. 15% of the portfolio was Agency CMBS and 96% of the portfolio is agency guarantee. On Page 11, we have allocated – you can see we've allocated capital to lower coupons with a mix of TBA and specified pools, primarily 2s and 2.5s. We're diversified in specified pools between higher pay up stories and lower pay up stories. The TBA market and the 2% coupon currently offers attractive financing relative to pools as Steve mentioned in the repo market. At some points in the last settlement cycle, the financing rate in the dollar roll market was as low as minus 90 basis points, an advantage of 120 basis points all-in versus pools, almost doubling the return in TBAs versus owning pools. We see structural demand in the 2% coupon that supports continued specialness in the role in the coming months. Please turn to Page 12. We are operating today with a larger liquid diversified portfolio focused on liquidity and flexibility. As you can see on this chart, our net interest spread has been widening as financing costs have declined. At current leverage levels and the mix between pools and TBAs we feel the portfolio has the flexibility to navigate the coming months. Assuming no changes from the current portfolio size and with financing costs trending as described in the forward markets factoring in leverage and prepayments, the earnings from the portfolio are expected to exceed the level of the dividend for the remainder of 2020. Starting now to our macroeconomic opinion and outlook. We have assessed the environment as a health and economic crisis layered on top of the already existing fault lines that we identified before. Social economic global debt technology, environmental, geopolitical and demographic factors, a major consequence of this crisis is a significant disruption to cash flows, which is now colliding with huge amounts of government intervention through monetary and debt driven, fiscal policy. Many questions still abound. Will the government actions be enough to minimize the disruption to cash flows? How do the structural factors evolve as we see the duration and severity of the health and economic crisis play out? What is the risk return trade-off we need to make in the short medium term versus the long-term? These are all still open questions. We're also still tracking risk events in the upcoming quarters. We have known unknowns like the election and the continued geopolitical and trade frictions, as well as the continued possibility of an exogenous shock. It is very likely that we will have an environment with periods of calm created by massive central bank interventions, punctuated by bouts of volatility from surprise outcomes. With this in mind and so many factors in play, our investment strategy is built around what is relatively more certain in the short and medium term, so that capital is preserved and available for opportunities in the long-term. What we see clearly is that financing costs are low and we expect or will stay low for high quality assets for some time. This is a major positive for investing in Agency RMBS. Government policy, central bank policy and specifically the Fed is also aligned with investing in the sector and the assets continue to offer an attractive return in the low teens ROE, as can see on Page 13. With front-end rates anchored central banks actively purchasing their own country sovereign debt, volatility and interest rates has materially declined and will likely continue to remain contained in the absence of exoticness shocks. This is also supportive for investing in Agency RMBS. Please now turn to Page 24. Our portfolio is constructed for this environment. The capitalized on earning returns with flexibility with just the position up or down as conditions warrant. The low coupon allocation acts as a buffer against lower rates. The modest high coupon RMBS and DUS allocation are in mid against higher rates. Our hedge position is designed to cushion book value and higher rates scenarios with options that do not degrade book value performance, and lower rates. You can see that on this chart, our sensitivity to up and down 50 parallel scenarios versus up and down 100 scenarios, significantly lower than it was in March of 2020. This is really reflective of the short dated options that are within the portfolio, and when rates go up, they actually turbo in and cushion the up-rate scenario when rates go down, they really don't impact your book value other than the amount of premium that you put out at the initiation of the trade. So to wrap up, we continue to believe that up in credit and up in liquidity is the right strategy for this macro environment. Our capital is allocated to assets aligned with central bank and government policy. The position is flexible. We have more liquidity on hand today than in prior months in quarters. We have over $280 million in cash and unencumbered assets as of last night. We are focused on earning returns and preserving capital in the short and medium term to be available to allocate as opportunities develop in the long-term. With that, I'll turn it over to Byron.
Byron Boston: I made a mistake, it wasn’t unmuted. We're really excited about our prospects for generating an increasing amount of income, but we take most comfort in our discipline process of scenario planning and preparation. We continue to believe surprises are highly probable as we settle into the fact that global central banks and other government policy makers are now the undisputed kingpins in determining the winners and losers in our economy and financial markets. Hence we have aligned ourselves with the government being implemented today, and we are very nimble. Furthermore, we continue to believe there are positive long-term trends supporting our business model. As the globe continues to age, there are fewer and fewer options for investors to generate cash income, global yields have plummeted and may continue to decline further. However, the yield on our common stock now offers approximately 1,000 basis points more in cash yield than the U.S. Treasury tenure with a solid prospect that we will continue out earning our dividend as financing costs are expected to remain low. Well then what should investors do? Long-term outcomes in the mortgage REIT space will be determined by how the respective companies risk manage over time, and how the company – how the management teams respond to the inevitable surprises that are bound to come in a world where global risk have intensify. Let's look at our long-term focus[ph] on Slide 16. If you add total returns of all mortgage REITs in this chart or to this chart, that includes commercial residential REITs you will see the cost ratio, efficiency ratio or scale did not have and will not have a material impact on long-term returns. Disciplined capital allocation matters, disciplined risk management matters. Take another look at our long-term chart. I'll sound like a broken record, but we're managing for the long-term. It is our philosophy that investors should also think on a long-term basis and build a diversified portfolio companies with experienced management teams and disciplined risk management and capital allocation. My teammates and I have managed securitize assets through every crisis since 1986. We're internally managed and a material amount of our personal net worth is invested in Dynex Capital stock. We're all shareholders here. Dynex Capital is not just one of many funds that we manage. Dynex is the only fund that we manage. So please join us on this journey. We remain committed to our long-term vision and being good stewards of your capital. Operator, we'll open the lines for questions.
Operator: Thank you. [Operator Instructions] And your first question here comes from the line of Eric Hagen with KBW. Please go ahead. Your line is now open.
Eric Hagen: Thanks for taking my questions. Good morning and it's good to hear from you guys. A couple of questions on the TBA. How you think your hedge TBA differently to hedge pools on balance sheet? In other words, would the strategy around hedging necessarily change material if you held specified pools in place of the current TBA position? And then what was the average drop that you guys captured on the TBA in July, and how does that compare to the drop that you're seeing in TBA today? Thanks.
Smriti Popenoe: Yes. Hi, Eric. Yes. So to answer your first question the hedge ratio on TBA is different than it is – than it is on specified pool. I will say in the lower coupons right now, it's really a primary – it's not going to be much different. So in terms of whether we're choosing a different instrument on the part of the curve, it's really a question of what percentage of the tenure futures or whatever it is that you're using, it's not materially different. In higher coupons like 2.5, I say higher coupon that is, it makes more of a difference because the prepayment characteristics really do impact the duration of the cash flow. So those will typically have a longer durated hedge against them. In terms of the role, I would say on the 2% coupon, the average drop has been somewhere between 6.5 and 7.6 and we're still seeing that persist for at least another month or two into the future. And that's about; I would say that's at least 70 basis points through – negative 70 basis points from effective cost upon
Byron Boston: Hey Eric, I'll add one other piece here, which is also remember they were very disciplined in our top down approach. So our hedge ratios do fluctuate based on our macro economic outlook and view.
Eric Hagen: Thank you. One on the – one more on the hedging. On the – the options on futures contracts, if you guys rolled that position at the beginning, or I guess today, how would the costs compare relative to what you paid last quarter?
Smriti Popenoe: Yes, that's a good question. I think the implied vol in options has actually stayed relatively low. So you're paying that carry costs and that carry cost comes out of book value. It's been relatively stable for the last two quarters, and relatively stable the last two quarters in terms of our roll cost, if you will.
Eric Hagen: Got it. Thank you guys so much.
Operator: Your next question comes from the line of Trevor Cranston with JMP Securities. Please go ahead. Your line is now open.
Trevor Cranston: All right. Thanks, good morning. In light of the shift in the portfolio to heavily favor agency RMBS, could you guys share your thoughts sort of generally on the prepayment environment and maybe more specifically talk about how you think some of the lower coupons would perform work, particularly at 2.5 in the event that primary mortgage rates or to declines instantly from here. Thanks.
Byron Boston: Trevor, I'm going to give you a high level respond and let Smriti get more specific. When you noticed that back at the beginning of March or so in the February, beginning of March, we literally sold most of our passages and we definitively sold our premium a lot of our premium position. We kept some, and we sold these little down. When primary rates dropped and had the potential to decline. There's my opinion of just in general, from a high level from where I sit, if we concern overall about prepayment? So I'll let Smriti get more specific on that. And the thing I like the most about the investment process here at Dynex is the discipline and thinking about those scenarios that you just talked about, which is what if the curve steepens and rates move higher, which is an event that has some probability attached to it. And we have a very disciplined process since Smriti and her team really spend a lot of time thinking about a variety of scenarios and developing plans of actions to implement. If those scenarios start to evolve. The high level Smriti, I'll let you take over actually answer in more detail.
Smriti Popenoe: Sure. Yes. I mean, it all starts with mortgage rates and mortgage rates are now being driven primarily with the demand for mortgage securities coming from a number of players. The Fed being the biggest, but also banks having large in purchasing mortgages. So that's really bringing mortgage rates down. You can see that also in terms of primary, secondary mortgage spreads, which had come down to about I want to say 175 basis points, or so they're creeping back up right now, but there's just been a massive decline in primary secondary rates. And that that really is what drives prepayments. So with primary, secondary rates at this level you are seeing a substantial portion of the mortgage universe, including 2.5s in the money. And at this point the competition for or volume from mortgage bankers is going to start to drive that spread tighter from here. Could it go tighter from here? Yes, I think it could. You also have to have a view on mortgage rates. And again, here, I think mortgage rates are probably around 3% right now. We think that they have the probability of going as low as two and three quarter’s percent. That's very much in the foreseeable future. What limits the amount of decline in mortgage rates versus treasury? So there's a few things. Number one, just simply the cost of the guarantee fees, but operational costs all of those have an impact in terms of how low the mortgage rate can go versus the risk free rate. And then secondly, just if you think about a mortgage is being a 30-year bond callable immediately at 30 non-call zero, that options cost has to be, has to be factored in when you think about how investors price for that risk. So those two things together really keep that mortgage rate at least a minimum amount above the tenure treasury. So if you think that mortgage rates can go down another 25 basis points in primary, secondary spreads and another 15 or so, then you're really looking at the entire universe other than the 2% coupon being in the money. And so for that reason, we are concentrating on the 2% coupon. We have more investments in that coupon than, than others. The other story in terms of pre payments really becomes the amount of unamortized premium that is allocated across your investment portfolio. So at higher premiums, you have the more at risk your future return is. And so that's something we are very, very cognizant of in the book. And if you look at the way the book is structured today, our unamortized premium as of June 30th is actually exactly the same as it was on December 31st or very close within a couple of million bucks. But the distribution of that is now primarily in the 2 and the 2.5 coupon versus, 4s and 4.5s in December. So you've basically taken that risk and put it in the lower – in the lower coupon. So from a prepayment standpoint we expect that there will be higher pre-payments coming. We've structured the book to be able to be flexible within between TBAs and pools and we're focused on the lower coupons to be able to manage that risk.
Trevor Cranston: Okay, got it. That's helpful. As you guys are thinking about reinvestments and investing the marginal dollar, is it fair to say that you guys are more focused on TBS at the moment, given the role of specialness? And can you maybe sort of quantify how different you think the returns are in pools versus TBS today? Thanks.
Smriti Popenoe: Yes. It is fair to say that we would be more focused on TBAs. I think in the lower coupons, I mean, the differential is, is multiple ROE. I mean, it's like 7% ROE better in the short-term versus the long-term. So the interesting thing on that trade-off is, in a TBA trade you're really counting on the financing costs to be a certain level for you to earn your return. In the pool you're counting on the prepayment experience to earn your return. And what's interesting is in the last pre-pay cycle that we just went through, a lot of prepayment protected stories didn't perform as expected, many, many stories actually paid faster than people expected. So it's really not as clear cut a trade off as it was before where, you know, you're able to rely on spec pools as a return generator versus TBA. So I would say right now the economics definitely favor the TBA versus the pools. And then we're going to have to see another couple months worth of prepayment experience to really figure out which stories pulled up over time, especially when you're in this kind of waterfall scenario, where should the massive values of prepays coming down the pike, given how low these weights are.
Trevor Cranston: Sure. Okay. Appreciate the comments. Thank you.
Smriti Popenoe: Sure.
Operator: Your next question comes from the line of Christopher Nolan from Ladenburg. Please go ahead. Your line is now open.
Christopher Nolan: Hey guys. Smriti, your comments in terms of, you expect the portfolio returns to exceed dividends in the second half of the year. Did I hear you correctly?
Smriti Popenoe: Yes.
Christopher Nolan: Okay. And then also I saw that you're targeting now a core ROE of 8% to 16%, which is up from the 7% to 8% from last quarter. Is that also correct?
Smriti Popenoe: That – that is actually just the marginal return that we see on investments. So that slide is intended to say, if we had to put the marginal dollar to work, what types of returns are we seeing across the capital stack?
Christopher Nolan: Okay.
Smriti Popenoe: And lower end of that, that 7% or 8% is more like 15 years, pass-throughs that kind of stuff. The higher end includes the return from dollar rolls and the TBA market.
Christopher Nolan: Okay. But from your earlier comments that you expect to continue the current dividend in the second half of the year, the current dividend requires a core ROE of roughly 10%. Am I correct?
Steve Benedetti: Chris, this is Steve, good morning. I think the way for you to think about it. And what we're trying to communicate is sort of we've taken the earning asset balance up, so we've invested our capital and you can see on Slide 12, sort of the net interest spread and how that's expanded, right. And so we're 196 basis points for this past quarter and [indiscernible] guided to funding costs are low and reasonably anchored here. So you can sort of expect a very strong interest spread. So if you think about, 8%-ish leverage on 200 basis points of interest spread that's sort of it's kind of a back of the envelope of kind of the earnings power of the portfolio on a gross basis has been here today. That make sense?
Christopher Nolan: That leverage range has increased from since last quarter, you're targeting six or seven times, but now closer to seven to eight times, what you would say?
Smriti Popenoe: Yes. And I think that's actually an excellent, one of the things that drove us to actually take the leverage up higher than what we had mentioned before was simply the environment and the opportunity that we saw in the TBA market. So at this time we're fairly comfortable getting at this. The advantage of that, just let me share just one more thing on that is that, if you're sitting in the TBA it's just super flexible in terms of getting in and out.
Christopher Nolan: Okay. So it looks like the leverage is going up, the incremental returns appear to be going up as well, you take away from is that fair to say?
Smriti Popenoe: I agree.
Byron Boston: Yes. Let me just throw a light. You're absolutely right. Look, we didn't just increase the damn leverage to chase after a dividend of some sort. We've made a very disciplined capital allocation decision here. We think it is absolutely our responsibility to try to capture that return for our shareholders. So I appreciate you phrasing it in that manner that is absolutely correct. We're very concerned about not trying to take too much risk in an environment like this. So when we talk about disciplining capital allocation, it means that as you see us making these decisions you could go all the way back to 2008, remove – during 2008 marginal dollar went into the agency sector, by the end of 2009 the marginal dollar went into the CMBS sector for multiple years after that. And we're making a decision today to go into this, this specific sector based on a very disciplined capital allocation process that takes into account that we are stewards of our shareholders capital and we want to protect them as much as possible.
Christopher Nolan: Good point, Byron. And I'm looking at the stock and everything, 12% dividend yield and your target ROE is going to be somewhere around 10% or so, you have a pretty liquid balance sheet. I mean, I guess the big variable here is going to be where's your portfolio returns, which I think goes to the question of prepays if I'm not mistaken.
Smriti Popenoe: I think so. I mean – I think even in the prepays we’ve got some cushion from being in the lower part of the capital stack and in the local part of the coupon stack. Also, I think that the div yield is 10% at this point.
Christopher Nolan: Got it. The delayed pricing on this stock you're cutting back on the sell side all over the footprint.
Smriti Popenoe: Yes. But you're right. I mean, it's going to be prepayments and book value. And I think again, we talked about the volatility and the interest rates being dampened by the central banks. And then you've got at this point just realize repayments and how much we have at risk. And we think that's a manageable risk, this is what we do and even factoring that in. I think I’ve mentioned in my comments that we feel pretty good about out-earning the rest of the year.
Christopher Nolan: Right. Thanks guys.
Operator: Your next question comes from the line of Jason Stewart with Jones Trading. Please go ahead. Your line is now open.
Jason Stewart: Thanks. Good morning. Thanks for the comments on agency CMBS premiums. Given that we have a little bit more data, I was wondering if your view on buyout risk in agency CMBS has changed at all, and then along the same lines, how do you think that develops in agency RMBS?
Smriti Popenoe: Hi, Jason. Yes. So I think, again, fundamentally we love agency CMBS as a product. It's a great product. It's positively comebacks. It has an agency guarantee. You can earn roll down. It's financeable. It's liquid. It's in alignment with government policy as the fed has got it in its basket of assets that it's purchasing. So all of those things are in the positive category for agency CMBS. What's interesting right now and specifically with our portfolio was that we just – we bought a lot of these bonds when the tenure was up at 3%. So we had high yielding bonds with high dollar price premiums on our balance sheet that was a risk we chose just to take-off the table simply because we didn't know how these cash flows were going to work themselves out due to the disruption in cash flows. So that risk is still present for any bonds that you see that are premium dollar price out in the marketplace that has not gone away. And that leads us to say the type of risk that at some point we'd be – we would prefer to take in the agency CMBS market is closer to the par dollar price of bonds and the returns are just not there in that sector that typically can become a bank bond, where banks just come in and buy the heck out of that paper. So you can see on that sheet, the spreads on par price bonds are in the high-forties. And at this point we think the risk return on agency RMBS is just as substantially higher in terms of our ability to make that incremental return out. At some point, I would say as those spreads maybe widen, we would consider putting more par price securities back on our balance sheet. But at this point, the agency RMBS is better. On the agency RMBS side, did you want to hear about a comment on the credit being an issue or how would you?
Jason Stewart: Right. How the delinquency performance would translate in prepays and buyouts?
Smriti Popenoe: Yes. Wow. That's one of the things that leads us to sort of continue to want to stay down in coupon. It's not yet clear how that works. So forbearance is good in the sense that you're still getting your P&I payments while the bonds[ph] are in forbearance. It's just a much bigger risk for premium coupons like the 3% coupon, 3.5% coupon, 4% coupon, 4.5% coupon. All of those coupons are at risk from this buyout issue. So again, over time, what we'd expect to see is that the forbearance actually eventually turned into actual cash buyouts and then you'd have unexpected prepayment increases in those coupons as well.
Jason Stewart: Right. So that's leading you to stay down a coupon away from [indiscernible]?
Smriti Popenoe: For now. Yes.
Jason Stewart: Okay. And then what's your view. And then I'll jump-off. What's your view on the credit? When you look at credit availability in the space there's obviously some positives and negatives but how that impacts prepays and sort of that marginal coupons, maybe like a 3% and 3.5% sort of the really low coupons.
Smriti Popenoe: So I think in general credit availability is being tried to be expanded as much as possible. So that the agencies, the fed everybody is really the – they have a tremendous incentive to increase credit availability in general, where you're seeing the shrinking of credit availability is really going to be in things like the jumbo market where investors really don't want to take that incremental risk. So to me in the way we think about it, the credit availability is really starting to be expanded and the GSE market that also have implications for things like first time home buyers turnover. They've tightened up the limits on cash out refinancing a little bit, but on balance, our bias is that these prepay speeds aren't biased to the faster side, not the slower side.
Jason Stewart: Understood. Thanks for answering the questions, appreciate it.
Smriti Popenoe: Sure.
Operator: [Operator Instructions] Your next question comes from Jim [indiscernible], Private Investor. Please go ahead. Your line is open.
Unidentified Analyst: Good morning.
Byron Boston: Good morning, Jim.
Unidentified Analyst: Every congratulating you on a good quarter, but I want to go a little bit further and congratulate you on a great year. Most of us know that total economic return is really the only way to judge your structure, management team and the business model. And by my back of the envelope, you guys kind of went through the last four quarters somewhere around 5% total economic return, which relative to any hybrid rate is usually an excess of and relative even to the agency only guys, at least just at the top of the list, so congratulations on that.
Byron Boston: Thank you Jim.
Unidentified Analyst: And second level, Byron in particular, thank you for clarifying something for me. I've been doing this in one flavor or another for 40 years. First week on the job I was told, you don't fight the fed. And for the last 40 years, I've been relearning that at my own peril. To paraphrase what you said earlier about what all the central banks are doing and putting that side-by-side with how you guys have done over the last several quarters and several years, it seems am I wrong? If I say that your core business model is don't fight the fed?
Byron Boston: It is – the point I was trying to also make was about 10 years ago, really 2000 – late 2009, we said – we decided don't fight the fed and at that point the fed, at that point was supporting this for example, we were trying to decide to go into non-agency RMBS or CMBS. Instead of supporting CMBS they weren't supporting non-agency RMBS, we went to CMBS and we started to develop a thought process. The government policy will drive returns. They were kind of held hostage, just don't fight the fed. My point earlier was wow, this is even bigger than we even imagined. And yes, we think it would be dangerous to try to go against. They're not dangerous, it's just that we're putting our shareholders in better position. We'll go long-term if we align ourselves with the government policies, because at this point Jim, only macro they are the kingpins all over the globe. Would you agree?
Unidentified Analyst: Philosophically, what I would say is part of not fighting the fed, taking it to another level is help do what they want you to do, and they will pay you well to do that. So you buy agency credit and you basically apply some leverage to it. You're putting money in the system and you're doing their work and they will let you make – they will let you make [indiscernible] wage. So I would agree with that. Thanks again.
Byron Boston: Thanks Jim. We appreciate it.
Operator: And I'm showing no further questions at this time. I will now turn the call back over to Byron Boston for closing comments
Byron Boston: As always, we thank you so much for joining our call today and we look-forward to speaking to you again at the end of our – at the end of the third quarter. Thank you very much.
Operator: And ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.